Operator: Good day, ladies and gentlemen and thank you for standing by. Welcome to the Ark Restaurants Fourth Quarter and Full Year 2013 Results Conference Call. During today's presentation, all parties will be in a listen-only mode. Following the presentation, the conference will be opened for questions. (Operator Instructions) I would now like to turn the conference over to Bob Stewart, Chief Financial Officer. Please go ahead, sir.
Bob Stewart: Thank you, operator. Good morning and thank you for joining us on our conference call for the fourth quarter and full year ended September 28, 2013. With me on the call today is Michael Weinstein, our Chairman and CEO. For those of you who have not yet obtained a copy of our press release, it was issued over the Newswire on Friday and is available on our website. To review the full text of that press release along with the associated financial tables, please go to our homepage at www.arkrestaurants.com. Before we begin, however, I'd like to read the Safe Harbor statement. I need to remind everyone that part of our discussion this afternoon will include forward-looking statements and that these statements are not guarantees of future performance and therefore undue reliance should not be placed on them. We refer everyone to our filings with the Securities and Exchange Commission for a more detailed discussion of the risks that may have a direct variance on all our operating results, performance and financial condition. I will now turn the call over to Michael.
Michael Weinstein: Hi, everybody. Thank you for joining us. This was a difficult year for us. There were some outside influences not under our control. There were some influences that were in our control, but I would like to go over this with you. Our biggest problem was same-store sales. On East Coast, those were impacted by Sandy, especially in Washington and Atlantic City. Atlantic City has storm problems as [gaming] [ph] continues to spread through states surrounding New Jersey, Maryland, Delaware and Pennsylvania are definitely taking business away from Atlantic City. We still are profitable and looking reasonably well at [inaudible], where we have two operations Burger Bar and Gallagher's Steakhouse and we recently opened in Tropicana a Burger Bar, which we thought given the location [inaudible] would be well and it is profitable and doing pretty well as a return on investment. We hope that continues to gain further traction. In Washington, D.C., our same store sales were down for the year, some of that was Sandy, not very much. More importantly, we have significant competition that wasn't present last year at the Washington harbor location where Sequoia is and we also lost our Restaurant America a while back, and Union Station, our [leases were up, and we are redoing Station] [ph] that space was no longer available to us. We continue to run the Center Café and [Inaudible] grow there and they are actually doing very, very well. Las Vegas, we are being hurt by same store sales. Las Vegas is still not seeing the demand that we need to have positive same store sales. It's not down much. It's down about 3.6% on year. Part of that is New York-New York is undergoing a major construction project right now and that without a question is helping to determine our sales there. We think once that construction is finished, we will benefit from it. Right now, there are two major entrances into New York- New York. When the new construction is done, there will be nine entrances into New York-New York. There will be a park. There will be a huge arena. We think that that will be a game changer to the extent that we think we’ll start comp well once that's done, and we think that will start sometime in late spring. Florida. Florida, where we have always done well, it's still a huge return on original investment. The [Hard Rock to both, Tampa and] [ph] Hollywood where we [already] [ph] have changed their comping procedures there, they are no longer issuing comp certificate, this is a food court or [or have been] [ph] some while they are about to start again. Without a question that's hurt our sales. New York and Boston, Boston is down just slightly. I think that is all attributable to Sandy. New York City is doing very, very well despite Sandy. We were closed for a significant period of time with Sandy and closed two restaurants, which we did not reopen at the South Street Seaport, but New York remains the bubble. The restaurant business in New York is spectacular for everyone, not just for us. We happen to have some very good locations. On top of all of this, we did not have the same spring in early summer weather that we had last year. Last year, that weather was spectacular. We had almost 100% utilization of our many outdoor cafes in New York and Washington, D.C. This year, I think it was really late June, early July before we had any utilization of [those proceeds] [ph] weather was cold, it was damp. It’s just - especially at night, we [need to be] [ph] 70 degrees or better to get utilization [proceeds] [ph] and we just didn't achieve it. So, we had bad weather, we had Sandy, certainly impacted our sales on the East Coast. We have Las Vegas where our main restaurants and most of our volumes [inaudible] New York-New York that’s under construction, we had a change in the way comping is done at Florida casinos, where we are present, so we had a lot of negative stuff not in our control. I think, we are running our businesses pretty well, what we are missing is volume. The only place where we are struggling still is Clyde and New York. Our losses are much lesser than the prior year, but they are still significant. We still continue to see it building, but it's a long way for something that we are very proud of and we think we are doing a good job at. We want to give it a little while longer and see how it goes, but I think in the end we will be happy we own this [property. That was dread] [ph] right now. In terms of new things going on, it's hard to say that the excitement of the new things should distract you from a tough year, but there are new things going on that we think will benefit shareholders dramatically. I mentioned the Burger Bar and Tropicana, that's new; we think will do well. The two big things are, we have a contract to purchase the Rustic Inn in Fort Lauderdale, Florida. Rustic Inn has been around forever. It's an institution. We think the purchase will be completed sometime in February of this year. That restaurant [does $12 million] [ph] and [Inaudible] lot of money and we think we can improve on that, but we also think it's something we have an opportunity to take to other areas in Florida, where it's well known and we are just excited about that purchase. It has great management. The general manager has been there 20-some odd years, so he is staying. The family that we bought it from has some kids in the business who are going to stay. They are all great people. The employees and other types of employees [inaudible] they have been working at the restaurants for many, many years. It's a strong deal for us. The other thing that we did this year is, we purchased and we have 11% interest with some significant partners, one of them being the Hard Rock people, another Jeff Gural, who is a real estate holder in New York through his company Newmark. We purchased a 40-year lease and built a new grandstand at Meadowlands racetrack in Northern New Jersey. About a month-and-a-half ago, we opened a significant number of beverage operations in the new grandstand that we built or the [project] [ph] built. The new grandstand is great looking. It will be more efficient than the old grandstand that has been there for some 30, 40 years. It's very hip, very modern looking. We are overseeing the food and beverage operations but at Ark, but it will not hit our P&L either in terms of losses or gains. We are doing it for very small management fee. Our interest in the Meadowlands [inaudible] to invest something around $5 million, just short of $5 million along with our interest in the Meadowlands comes the right to offer beverage at the Meadowlands if there is an expansion of the Meadowlands to include casino gaming. We believe strongly whether we are [right or wrong] [ph], we still believe it, that with the decline of Atlantic City, [whose volume] [ph] has gone from 5 billion several years ago to a little over 3 billion now, given the extent gaming in Pennsylvania, Maryland, Delaware. The expansion of gaming in the state of New York, we believe that the state of New Jersey will have to expand gaming in [inaudible] Atlantic City and the strongest locations for that in New Jersey [inaudible] Maryland. It's closer to Manhattan and either Yonkers who are at the [inaudible] raceways where there is presently [inaudible]. The Meadowlands has the ability to do as much revenue for the state as the 11 casinos combined in Atlantic right now, so we think and there's some [circulation] [ph] of activity into the state legislature to start to discuss legislation to expand gaming through of other venues and it will be in Northern New Jersey and [inaudible] Meadowlands is perfect location. So that's why we made the investment. If that were to happen, it would be a significant game changer here, not only in terms of our investment in the racetrack, but also the opportunity to significantly improve beverage revenues as the owner of those food and beverage outlets, so that's where we are right now. I am happy to take any questions.
Operator: We will now begin the question-and-answer session. (Operator Instructions). I am showing there are no questions. I will turn the call back to Michael Weinstein for closing comments.
Michael Weinstein: Well, thank you. I didn't think I did that good of a good job not having some questions, but people are tired of me, I guess. Thank you. We will see you in three months. Have a happy holiday season, everyone. Thanks.
Operator: Ladies and gentlemen, this concludes our conference for today. Thank you for your participation. You may now disconnect.